Operator: Good day, ladies and gentlemen, and welcome to the Goldfield Corporation's First Quarter 2018 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Kristine Walczak of Dresner Corporate Services. You may begin.
Kristine Walczak: Thank you, and good morning, everyone. I'd like to welcome you to the Goldfield Corporation conference call to discuss the company's first quarter results for 2018, which were reported yesterday. Joining us on today's call are President and Chief Executive Officer, John Sottile and Chief Financial Officer, Steve Wherry. If you did not receive yesterday's press release, please contact Dresdner Corporate Services at 312-726-3600 and we will send you a copy or go to Goldfield's website, where a copy is available under the Investor Relations tab. A replay of today's webcast will be available on the company's website under the Investor Relations tab. Before we begin, I want to remind you this discussion may contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. You can identify these statements by forward-looking words such as may, will, expect, anticipate, believe, estimate, plan and continue or similar words. Any forward-looking statements are based upon Goldfield management's current expectations about future events and Goldfield assumes no obligation to update any such forward-looking statements, except as required by law. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Accordingly, these forward-looking statements are no guarantee of future performance. These risks and uncertainties are discussed in the company's annual report on Form 10-K for the year ended December 31, 2017. Also, certain non-GAAP financial information will be discussed on the call today. A reconciliation of this non-GAAP information to those comparable GAAP measure is set forth in yesterday's press release, which can be found on the Investor's section of the company's website. With that said, let me turn the call over to John Sottile.
John Sottile: Thank you, Kristine, and good morning, everyone. Thank you for joining us and for your interest in the Goldfield Corporation. After my initial remarks, I will turn the discussion over to our CFO, Steve Wherry who will update you on the financial performance for the first quarter. We are very pleased with the continued improvement in our operations since the third quarter of last year. Revenue has grown steadily from $24.5 million in the 2017 third quarter to $29.6 million in the 2017 fourth quarter to $34.4 million in the 2018 first quarter. Additionally and more importantly, this is our third consecutive quarter of gross margin improvement from 14% in the 2017 third quarter to 15.7% in the 2017 fourth quarter to 21.5% in the 2018 first quarter. As we discussed on last quarter's call, we continue to see a substantial turnaround in awarded bid in MSA projects in 2018 for Texas and Southwest operations. We also experienced an increase in bid in MSA activities in our mid-Atlantic operations. However, our Southeast operations experienced a decline in project activity in part due to customer demand exceeding our labor resources. We have increased employee wage and other benefits to grow our labor force in an effort to take on available projects. Our backlog at the end of the first quarter was very strong. Total backlog increased 26.7% to $193 million due to increase in both firm contracts and estimated MSAs. Twelve month electrical construction backlog improved 39.9% to a record $111.1 million. For the 12-month backlog project specific firm contracts increased 62.2% while estimated MSA backlog increased 29%. These improvements demonstrated that the fundamentals of our business are very strong and provide us with visibility for continued growth. We anticipate our momentum will continue to 2018 due to a healthy backlog and a strong bidding climate for viable project opportunities. Industry activity and trends continue to point to historic investments in electrical infrastructure and we believe we are well-positioned in this competitive market to win our share of anticipated projects. Now I would like to share with you some developments during the first quarter we believe will put us in a favorable position to capitalize on this healthy market for years to come. In our Texas and Southwest operations, we recently signed a three-year MSA with a new customer. Our experience, proven track record and depth of resources in this geographic region enable us to provide expertise in bringing projects to a successful and timely completion. Additionally, we have been actively pursuing new potential customers in adjoining states in an effort to expand both MSA and the T&D bid work. Finally, we are in the early stages of establishing a substation business in our mid-Atlantic operation. Initial projects have recently been awarded under this expansion. Our priority is to focus on profitable growth and improve profit margins for our shareholders. Accordingly, we remain focused on a strong project execution and a disciplined approach in all our bidding and operational activities. This concludes my prepared remarks. At this point I would like to turn the call over to Steve Wherry our CFO to provide a review of our financials. Steve?
Steve Wherry: Thank you, John and good morning everyone. First quarter 2018 total revenue was $34.4 million, an increase of $3.7 million, or 12.1% compared to the same period of last year. Electrical construction revenue in the 2018 first quarter was $34.1 million, an increase of $4.7 million or 15.9% from $29.4 million for the 2017 period. Year-over-year revenue improved mainly due to increases in projects awarded and work completed. Specifically, we experienced an improvement of $7 million in our Texas and Southwest operations, and $3.1 million in our mid Atlantic operation quarter-over-quarter. The revenue increases were partially offset by a decrease in project activity in the Southeast operation of $5.5 million. As well as lower real estate development revenue. Revenue from real estate development operations decreased to $307,000 in the 2018 first quarter from $1.3 million in the same period of 2017 due to a reduced number of property sold in the 2018 quarter. First quarter 2018 gross margin on electrical construction operations declined to 21.5%, compared to 25.3% for the 2017 quarter. The decrease was attributable to a change in project mix, in particular, a higher volume of lower margin projects mainly due to increased competition. However, as John mentioned a moment ago the 2018 first quarter was our third consecutive quarter of gross margin improvement. Year-over-year SG&A expenses increased 18.9% in the 2018 first quarter due mainly to higher salary and wage related expenses for 2018 when compared to the same period last year. Also contributing to this increase were higher professional fees and expenses resulting from the change in our filing status to an accelerated filer as of December 31, 2017. These increases were partially offset by reduction in real estate selling expenses. Comparing the 2018 first quarter to the 2017 first quarter, depreciation and amortization expenses increased approximately $139,000. Mainly, this was a result of an increase in capital expenditures. Our provision for income taxes was $878,000 in the 2018 first quarter versus $1.5 million in the last year's first quarter. Our current effective tax rate is 26.7% compared to 36.6% last year. The current effective tax rate differs from the Federal statutory rate of 21% mainly due to state income taxes and nondeductible expenses. For the full year operating income decreased to $3.5 million in the 2018 first quarter from $4.3 million in the 2017 period. The decrease was driven by the same factors which impacted our gross margin, as well as a higher selling, general and administrative and depreciation expenses I just discussed. Net income declined slightly to $2.4 million or $0.09 per share for the 2018 first quarter from $2.7 million or $0.10 per share in the same period of 2017. EBITDA for the three months ended March 31, 2018 was $5.4 million compared to $6.1 million for the same period of 2017. Turning to backlog, total backlog at March 31, 2018 which includes total revenue estimated over the remaining life of the MSAs plus estimated revenue from fixed-price contracts increased 26.7% to $193.1 million compared to a $152.3 million last year, mainly due to a combination of an increase in both firm contract awards and estimated MSAs. At the end of the first quarter our 12-month total electrical construction backlog increased to a record a record $111 million compared to $79.5 million one year ago. Of the 12- month total backlog project specific firm contracts increased 62.2% and estimated MSA backlog increased 29% year-over-year. Estimated MSAs accounted for approximately 77.8% of total backlog at March 31, 2018 versus 82.6% at March 31, 2017. It is our intention to continue to grow our MSA business as it provides opportunities for operating efficiencies. Now turning to the balance sheet. At March 31, 2018, we had approximately $16.6 million of cash and cash equivalent, $21 million of funded debt, $34.3 million of working capital and an $18 million revolving Line of Credit of which $14.8 million was available for borrowing. Looking forward, we believe our solid financial position, client base and commitment to attract and retaining outstanding workforce should allow us to favorably impact future results to our shareholders. This concludes our prepared remarks. Operator, we are now ready to open the call to questions.
Operator: [Operator Instructions] Thank you. Our first question comes from Sam Rebotsky with SER Asset Management. Please go ahead.
Sam Rebotsky: Yes, good morning, John. Congratulations, improvement and your support of Goldfield by buying stock when that was going down. Now tell us about the Texas operation - you got this new job and I assume you're using all the employees; they're all working and are you trying to get additional employees in Texas?
John Sottile: We are very pleased with the new MSA in Texas. We are not presently in a position to disclose her name. However, it is a major utility and we will go a long way towards filling out our geographic footprint within the state. Yes, everyone is working at present. We continue to endeavor to secure our work during the summer; it's always a challenge and particular challenging with ERCOT regulations that is the electrical authority in Texas. They control the outages that allow us to get to de-energize the lines we will work during the summer. But having said that, we are all very pleased with the new contract and it will certainly add to the opportunities for our western and southwest operations. There is no work I mean we presently have not been awarded any jobs under the new MSA, and accordingly none of the work is in our backlog-- in our reported backlog.
Sam Rebotsky: Okay. Now, I assume that as the jobs that you are bidding on, they are significantly more than previously and eventually even though there is competition to the extent you have the employees to fulfill these jobs, hopefully your backlog will keep improving at it's done in the last couple of quarters?
John Sottile: We've been spending a lot of effort, again, securing the additional MSA and that will materially increase our opportunity moving forward to bid work in Texas. We-- remember the Southwest that operation does look well outside of Texas in an effort to secure work. So please don't think that they are confined to Texas. They travel well; they did a very good job last year coming to Florida during the storm. We had several hundred people on the storm work, so-- and Texas was a big contributor on that. So Texas has the ability to move certainly within adjacent state very easily.
Sam Rebotsky: And the mid-Atlantic, is this something new or-- and do you expect this to be a sizable performance going forward?
John Sottile: The mid-Atlantic really is a sort of a change in nomenclature. It is our Carolina operations, but the Carolina operations are stepping out geographically to the north and to the west and we felt that better describes how we, you know it better reflects how we look at our business in the Carolinas. And accordingly it is the same operation, but as we secure new customers and new contracts we felt that that better describes what we are doing.
Sam Rebotsky: And as far as the real estate I noticed the cost for the residential properties on the construction went from $2 million forward to $3.581 million so I assume you even though you haven't sold these many properties, are you have contracts to sell and you expect transactions to occur? What are your thoughts on the real estate?
John Sottile: I mean as you see me the inventory cost building that will certainly reflect that we are continuing to build projects. We have a number of units under contract in oceanfront projects that we have under construction. Additionally, we have other townhouses under construction. We have a number of other properties that are oceanfront and non-oceanfront that we expect to bring on online. And you will see them developing over the next few years. This is a very - they are very - they are huge lead time, Sam on the real estate oceanfront real estate because of permitting. So, it's not unusual to buy a piece of property today in the project to 2 to 2.5 years to get fully completed. So we do have a project called [Eva coast] that is under construction on the ocean. In addition to the non-oceanfront ones located in the Harbor Beach. They are called Harbor Beach Club. So you will see that number probably continue to grow moving forward as we continue invest in that. Remember that this is not a POC. It's sort of - we report the sales as the units are sold and obviously you have to sell-- you have to have building completed before we can close on our transactions.
Sam Rebotsky: Well, sounds good John. Good luck and keep improving in the next quarters.
John Sottile: That's our goal Sam. We are going to continue to give it our best efforts to continue on that course.
Sam Rebotsky: Thank you.
Operator: Our next question comes from [George Gaspar], Private Investor. Please go ahead.
Unidentified Analyst: Yes, good morning. I would like to get a little further in on that this wage scale changes. Can you give us any idea of what you are experiencing in terms of the percent of increase that you have to make on employee wages in short field operations? And then can you talk a little bit about what you are going to do to try to attract more employees? I assume you're going to need them as you're going to expand all these areas?
John Sottile: Our biggest challenge as I mentioned was in our Florida and Southeast operations and we have a used part over 50% of the tax savings we anticipate in 2018 for wage and benefit increase-- increases for these regions to attract and retain employees. The workforce is generally inelastic. They are going to be working for somebody else and they are going to-- they leave them to come to us. I mean just the demand far exceeds the labor force although we have long-term opportunities that we are working through apprentice programs, which will yield fruit, but that's a four-year process to move employees through that and we expect for those to yield results as we move forward. But, no, we have made financial commitments; we have expanded our advertising to further let people know of the-- that the work is available in a particular regions where we are needing labor.
Unidentified Analyst: Okay, and then one additional question before I go to Texas operation, but-- the huge indications from the utilities in the southeastern part of the United States in terms of multi billion dollars of forward expansion, in order to accomplish this kind of situation, John, is it not going to be really difficult to attract the employees to accomplish getting these contracts?
John Sottile: Sure. I mean it is a challenge for every utility contractor--
Unidentified Analyst: I got you.
John Sottile: Or anybody involved in the construction business to attract qualified labor to perform these projects. As I said, the workforce is generally inelastic, some-- people are sitting at home waiting to go to work. It is that-- they are-- we have to provide we believe that the benefits we provide both in wages and other benefits are top of the market and should be allow us to secure the labor that we need to fulfill the projects we see coming, I mean we can see them coming, and we will-- we are also prepared to move crews from region to region, if necessary to accomplish the goal.
Unidentified Analyst: Okay. And then John one question on the Texas operation. In comparison with that southeast part of the United States for Goldfield, what percentages of employees are located in Texas and related area there versus the percentage of employees with Goldfield in the southeastern part of the United States?
John Sottile: I don't have that number right off the top of my head. So I am thinking that there-- they may actually be-- I think Steve-- they are little around a 100in Texas and in Florida between-- it's about 50:50 I think-- I am get a-- Steve is signaling to me about 50: 50.
Unidentified Analyst: 50:50, okay. I'm just delighted to hear you pushing harder on the Texas area operations. There have been some very significant developments my background being oil, in recent discoveries in areas that have really not had much growing in past years and I-- there is just a clamoring for infrastructure in a lot of Texas, I don't know if you're experiencing any of that and what you're doing, but I would think that there's going to be a lot of opportunity there for you?
John Sottile: There is, I mean the amount of-- the Texas is a very strong economic area at present with strong oil as you well know. And the commitment to infrastructure that is obviously nationwide. Back on the labor shortages, Puerto Rico continues to be a labor back unit that keeps sucking people into it. It is not slowdown and we are not involved that. But we do see-- we do lose people to Texas-- I mean to Puerto Rico from time to time.
Unidentified Analyst: I see, I see. Okay. Well, good luck, John. You got some-- it looks like you really got some momentum going here and hopefully it'll unfold as you hope. Take care.
John Sottile: Thank you for your support.
Operator: I am showing no further questions at this time. I will hand the call back to John for closing remarks.
John Sottile: Thank you. I would like to thank everyone for joining us on our conference call today. Also, I would like to express my sincere thanks to our shareholders for their continued support.
Operator: This concludes today's teleconference. Thank you for your participation. You may disconnect your lines at this time.